Operator: Good morning, ladies and gentlemen, and welcome to the Trulieve Cannabis Corp Fourth Quarter and Year End 2020 Financial Results Conference Call. My name is Jerome and I will be your conference operator today. As a reminder, this conference call is being recorded. I would now like to introduce your host for today's conference, Ms. Lynn Ricci, Director of Investor Relations for Trulieve. You may begin.
Lynn Ricci: Thanks, Jerome. Good morning, ladies and gentlemen, and thank you for joining us today. On the call with me today are Kim Rivers, Chief Executive Officer; and Alex D'Amico, Chief Financial Officer. Following our prepared remarks, we will open the call to questions. Before we get started, I would like to note that today's call is being recorded for the benefit of investors, individual shareholders, the media and other interested parties. Please remember, statements we make during this call that are not statements of historical fact constitute forward-looking statements, and that these statements are subject to risks, uncertainties and other factors that could cause our actual results to differ materially from our historical results or from our forecast, including the risks and uncertainties described in the company's filings with the Securities and Exchange Commission, including item 1A risk factors of the company's annual report on form 10-K for the year ended December 31, 2020. Although the company may voluntarily do so from time to time, it undertakes no commitment to update or revise these forward-looking statements, whether as a result of new information, future events, or otherwise except as required by laws. During the call, Management will also discuss certain financial measures that are not calculated in accordance with United States Generally Accepted Accounting Principles or GAAP. We refer to these as non-GAAP financial measures. These measures should not be considered in isolation or as a substitute for Trulieve's financial results prepared in accordance with GAAP. A reconciliation of these non-GAAP measures to the most directly comparable GAAP measures is available in our annual report on form 10-K filed today with the SEC and can be found on our press release on the Investor Relations section of our website. Lastly, [indiscernible] times in our prepared comments and responses to your questions, we may offer metrics to provide greater insight into dynamics of our business or our quarterly results. Please be advised that we may or may not continue to provide these additional detail on the future. This morning, we reported results for our fourth quarter of 2020 and Fiscal 2020. A copy of our earnings press release may be found in the Investor Relations section of our website, trulieve.com. In addition, a webcast for today's conference call will be available on our website later today. Now, I will turn the call over to our CEO, Kim Rivers.
Kim Rivers: Thanks, Lynn, and good morning, everyone. Before we get started, I just wanted to say thank you to our brand partner, the Bellamy Brothers for their great music and great partnership with Trulieve as we celebrate the one year anniversary of the launch of their Old Hippie Stash line in Florida. Thanks, guys. Trulieve experienced a strong fourth quarter and outstanding year-end, both financially as well as operationally. On a full year basis, we achieved revenues of $521.5 million, an increase of $268.7 million over 2019 or 106%. Our 2020 adjusted EBITDA of $251 million represents year-over-year growth of $124.5 million or 99%. We delivered record revenues of $168.4 million in the fourth quarter up 24% sequentially and adjusted EBITDA of $78.2 million, an increase of 19% from the third quarter. Our 2020 revenue and adjusted EBITDA doubled full year 2019 results and our EBITDA was nearly the same as our full year revenue performance in 2019. And Q4 is our twelfth consecutive quarter of profitability. 2020 was a foundational year for Trulieve. We continued executing on our five region hub strategy which established a focused national distribution model. In 2020, Trulieve sold 3 billion active milligrams of oil and 32.6 tons of flower. Trulieve also became a U.S. reporting company which is a major milestone to celebrate and we implemented a world-class ERP system with the launch of SAP S4 to have the correct infrastructure to scale nationally. Each of these activities provides the foundational basis needed as a strong MSO and affords us the ability to accelerate our growth as the landscape continues to change. As a data driven organization, we began providing retail metrics on our 2019 year-end call. In addition to the quarterly metrics, we share several annual numbers. Although these numbers are primarily Florida-driven based on Florida's robust [OMME] [ph] reporting, these results also include California, Connecticut and Pennsylvania as available. We share our customer retention rate quarterly. In comparing the third quarter with the fourth quarter of 2020, we had customer retention of 72% that remains consistent year-over-year, showing loyalty strengths in a growing platform of retail locations. Another metric that reveals customer loyalty and plays into the customer lifetime value is average customer spend. As we look across our purchases year-over-year, we saw a shift in purchasing pattern trends with the introduction of an increased line of value products. The timing of these new product introductions in Q1 of 2020 could not have been better for our customers as our value products provided broader access needed during COVID. In Q4, active customers visited Trulieve's stores on average 2.8x per month, consistent with the full year average, with an average basket size of $112. On a full year basis, basket sizes were approximately $115 per visit. Our average active spend in 2020 was approximately $3,900, very similar to our 2019 results. However, our customer base grew at a rapid pace during the year. As an example, Florida had over 157,000 patients enter the program or a 53% increase over 2019. We continue to grow with that increase; we use a traditional same-store sales metric to track these loyal customers at a store level. For the 22 locations that were open in 2019 and 2020 for the entire year, the same-store sales increased by 21%. If we remove the stores open in 2018 or before, same-store sales growth for the year was 47%. Lastly, we shared the retail metric of revenue per square foot to track overall performance. In 2020, our 75 dispensaries across the U.S. generated approximately $3,163 per square foot. This metric is based on days open for our full year revenue and our total retail square footage as of the end of December 2020. Overall, we had a remarkable year of profitable growth, setting us up for our strategic plans for 2021, which are protecting our leadership position in the southeast and building out our U.S. hub model strategy. The first piece of the strategy mentioned is our continued focus on the southeast hub in Florida. Believe me, we are not sitting still. Our home state not only represents the foundation of our business today, but we believe it will be - continue to be an incredible opportunity in the future. We are in a unique position by virtue of footprint, customer loyalty, community support and ability to quickly pivot to address changing market dynamics to maintain our market leading performance and we fully intend to do so. BDSA sales data released this month has legal U.S. cannabis sales in 2020, surpassing $17.5 billion, 46% above 2019's $12.1 billion, with Florida ranking third in dollar gain in 2020 behind two adult-use markets. According to Leafly, the Florida medical market is the third largest cannabis market in the U.S., just behind California and Colorado, two adult-use markets. With major catalysts such as wholesale and the prospect of adult-use ahead in a state with 130 million annual tourists and 21 million residents, the Florida opportunity is just beginning. Although we just crossed a major milestone of 0.5 million patients in Florida, we've only penetrated 2% of the market today. When compared to other more mature medical markets, that 2% penetration rate can easily double. At the end of Q4, we had approximately 2,600 patients entering the Florida program each week. The six week trend line at the end of February was closer to 5,300 patients per week, a doubling in a relatively short period of time. In 2020, Trulieve increased our market share in Florida, ending the year with 49% of the oil market and 53% of the flower market. The magnitude of that patient growth on a consumption basis is approaching a regular sales rate for Trulieve of one ton of flower, or 32,000 ounces per week. At the end of Q4, the week of December 25, we surpassed that mark selling over a ton of flower with sales of 36,000 ounces in a week; an amazing number. In addition, we just had a record oil week in late February at 107 million milligrams dispensed and we continue to see that barbell effects that we've described in the past with the new value entrance and high end products both performing well. We will continue to watch market trends as we move further into 2021. Our plans for 2021 call for new stores and continued cultivation and production construction to support this customer growth. We began 2020 with 42 stores in Florida and 44 nationally, with a goal of 68 stores in the U.S. by year-end. We organically opened 70 stores in Florida, an increase of 28 stores or 67% for 2020. With our U.S. count of 75 stores which includes the three stores from our Pennsylvania acquisition, our dispensary footprint in 2020 increased by 79%. We have since opened eight new stores and now stand at 83 stores in the U.S. as of today. During 2020 we also added over 200,000 square feet of cultivation ending the year with almost 2 million square feet. But it's not just about building stores and cultivation and production to support patient growth and demand, it's about getting the right products to our customers for the release they need. Our R&D team released a host of new products and we also launched edibles in late August. In true Trulieve fashion, we swiftly introduced edible products, the first in the state to do so. We ramped the production to meet the pent up demand with Trulieve branded products and introduced recipes from nationally known brand partners. The reception of our edibles product line has been overwhelmingly positive as patients appreciate the depth and the variety of product offerings. As a matter of fact, we are launching a new sour gel line today called TruGel Puckers that will be available in lemon hibiscus, kiwi green apple and a Florida favorite, key lime. We expect this will be well-received and have plans to add more fun flavors to the lineup soon. Our location in the northern part of Florida within an hour of Georgia and Alabama, coupled with our scale, one of the largest footprints in the country, has it situated in a prime position. We are confident that Trulieve is poised to be the undisputed market leader in the southeast. As discussed earlier, we also made great strides during Q4 with our hub model strategy outside of the southeast. Pennsylvania, the fifth most populated state in the country with the nominal patient growth rates hitting 3% penetration already is an incredible addition to our northeast hub and will be an essential contributor to our 2021 revenue plan. We completed our acquisitions of PurePenn and Solevo in November. The acquired companies are operational, growing and we have established leaders with deep expertise in place. Given strong relationships with every dispensary in the state, new indoor cultivation coming online will provide additional sell through capability. Pennsylvania in general has a flower shortage so our go-to market plan is straightforward: grow more high quality flower. And remember, higher quality flower means higher terpenes and flavonoids, leading to better products overall. On the dispensary side, we ended the year with nearly 30,000 patients in our database. With over 460,000 registered patients in Pennsylvania, advocates and politicians both calling for legalization and a bipartisan marijuana adult-use bill proposed a few weeks ago, Pennsylvania looks to be poised for accelerated growth. We see Pennsylvania as an important state for our northeast hub strategy and we'll continue to look for additional M&A opportunities to expand. In Massachusetts, we announced yesterday that we received approvals to begin planting from the state's Cannabis Control Commission. We have over 60,000 square feet of canopy as defined by Massachusetts' regulations and 18,000 square feet of production. Our dispensary time line has our first location targeted open in the second quarter, with more locations coming in the second half, plus we will be launching our wholesale business after our first harvest in the second half of 2021. Moving to Connecticut; Connecticut is medical only but perhaps not for long. Our Bristol dispensary continues to outperform as one of 18 stores open in the state with approximately 10% of the medical patients. Connecticut is another state that recently has been vocal about adult-use. We are closely watching Connecticut and believe it will be another market that will expand. In West Virginia, yesterday we announced we signed a definitive agreement with Mountaineer Holdings, holders a permit for cultivation and two dispensaries. Coupled with our previously awarded permits, we will have fully vertical operations in the state with cultivation, processing and six dispensaries. We look forward to adding West Virginia to our operations. Now, looking to the Southwest; our Palm Springs California location continues to serve a great purpose for us by giving insight into brands and products that will eventually head to the east coast. We monitor that product velocity and that dispensary gives us a great view into future brands and trends, which we apply to our strategy across our U.S. platform. We look forward to 2021 in executing on our strategic goals. Now, let me turn the call over to Alex for more details on our fourth quarter results, full year performance and financial focus for 2021.
Alex D'Amico: Thank you, Kim, and good morning, everyone. As Kim just outlined, the fourth quarter was an outstanding end to the year -- not only based on financial performance, but also for executing on large projects across the organization. Most notably with the filing of our S-1 registration statement. This was a significant undertaking and I am happy to report that this work is now behind us. In addition, we completed our migration to the SAP S4 platform, which was a heavy lift across all functions of the company. I would like to thank our operations and corporate teams for their extensive contributions to this initiative. As Kim covered at the top of the call, we had record annual revenue of $521.5 million, an increase of 106% over the $252.8 million of revenue achieved in 2019 and surpassing the top end of our mid-year revised guidance range of $485 million. We also had record quarterly revenue of $168.4 million, representing a 111% increase over the $79.7 million of revenue earned in the same quarter last year. This strong performance in Q4 represents a 24% sequential top line increase over the $136.3 million earned in Q3 of 2020. These results are inclusive of the Pennsylvania acquisitions which closed on November 12. The opening balance sheet and results of operations from the date of close are contained within our consolidated financial statements. Trulieve is managed on a consolidated basis and we do not report nor do we plan to report on a segment basis. Moving to gross profit; on a full year basis, the company achieved gross profit of $386.4 million, or gross margin of 74% compared to $191.8 million, or 76% for the full year of 2019. We generated gross profit in the fourth quarter of $119.9 million. Absent one-time events and the impact of acquisitions, are margins in our core operations were in-line with the previous quarter at approximately 75%. As mentioned, our Pennsylvania acquisitions closed in the middle of the quarter. It is important to note that all assets and liabilities of acquisition are fair valued at deal close. This includes inventory, which flows through cost of goods sold at fair value, as opposed to cost. This dynamic has downward margin impact until this inventory is sold, and new inventory is capitalized at cost. In addition, we had an approximate 1% decrease for pauses in production as a result of SAP implementation efforts. As such, our fourth quarter gross margin was 71% as compared to 75% in the third quarter. It is important to mention that gross margin is negatively impacted as we enter new markets without full vertical integration, as we will have in Pennsylvania, through the earn out period in 2021 and as we ramp operations in new markets before revenue is earned, like we have to date in Massachusetts. In general, as we have shared in the past, it is possible for our gross margin to fluctuate a few basis points in either direction, from quarter-to-quarter, depending on inventory flow through and product mix. I will now turn to expenses. On a full year basis, SG&A expenses excluding depreciation and amortization were $155.5 million, or 30% of revenue compared to $73.4 million, or 29% for the full year of 2019. Although relatively flat in 2020, compared to 2019, we expect increases in operating expenses through 2021 as we continue to add dispensaries, enter new markets, and ramp our infrastructure to support our growth initiatives and go forward compliance. But we do not anticipate a material change as a percentage of revenue. In the quarter itself, we had an approximately 3% impact related to one-time costs for our SAP implementation, acquisition and integration costs and costs to enter new markets. This was partially offset by other operating efficiencies. As such, fourth quarter SG&A expenses, excluding depreciation and amortization were $52 million, or 31% of revenue, compared to $39.4 million, or 29% of revenue in the third quarter of 2020. Moving to income, our operating income for the year ended 2020 was $218.4 million, a 93% increase over the $113.3 million earned in 2019. Operating income for the year was $63.9 million, as compared to $59.5 million in the third quarter. Net income was $63 million for the year, resulting in EPS of $0.53 on a fully diluted basis. Net income was $3 million for the fourth quarter, compared to net income of $17.4 million in Q3. As we've discussed last quarter, our debt warrants originally denominated in Canadian dollars were converted to U.S. dollars in December 2020. This resulted in a reclassification of the warrants from liabilities to equity, eliminating the fair value movement of the warrants that negatively impacts net income as our stock price increases in relation to the exercise price of the warrant. Absence and revaluation of our debt warrants, adjusted net income would have been $105.7 million for the full year and $32.9 million for the fourth quarter, resulting in EPS of $0.89 and $0.28 respectively on a fully diluted basis. I am happy to note that we will no longer have this dynamic in 2021 and beyond, leading to a more transparent view of our bottom line. Focusing now on adjusted EBITDA; we believe adjusted EBITDA a non-GAAP measure provides valuable insight into our performance. Adjusted EBITDA excludes from net income as reported: interest, tax, depreciation, non-cash expenses, RTO expenses, share based compensation, acquisition income transaction costs, fair value step up of inventory from acquisitions, and other income. We reported adjusted EBITDA to help investors assess the operating performance of our business. On a full year basis adjusted EBITDA was $251 million, or 48%, which is particularly strong given the COVID response costs incurred throughout the year to keep our employees and patients safe, inclusive of investments we made throughout our facilities and dispensaries, at an impact of approximately 2% for the year. Absent fees costs full year adjusted EBITDA would have been approximately 50%. We have mentioned the one-time SAP implementation cost incurred across production and operations in the quarter. This had an approximate 2% impact on adjusted EBITDA in Q4. As such, adjusted EBITDA for the fourth quarter of 2020 was $78.2 million, or 46% of revenue, compared to $65.8 million, or 48% of revenue in Q3 2020. Removing the impact of the SAP implementation, our adjusted EBITDA would have been in-line with the previous quarter at approximately 48%. The $12.4 million improvement in adjusted EBITDA this quarter is primarily due to the increase in revenue, partially offset by increases in operating expenses and cost of goods sold. The impact of GAAP accounting for leases is included in both the current and comparative quarter, which impacts adjusted EBITDA by an approximate 1% to 2% for our business in the current year, as compared to previous IFRS reported metrics. The company delivered $99.6 million in cash flows from operations for the year due to our continued quarter-over-quarter profitability. This compares to $19.1 million in 2019. We ended the quarter with a cash balance of $146.7 million. Our strong cash position allows us to quickly leverage the foundation we have built to capitalize on expansion opportunities, organic growth, and to go deeper in the states where we operate. Now, I'd like to update you on inventory. At the end of Q4, we had a total of $98.3 million of inventory. This includes $11.8 million of inventory from the Pennsylvania acquisitions that were recorded at fair value. This compares to $77.7 million of inventory at the end of Q3. Company-wide CapEx spend for the quarter averaged just over $13 million per month, inclusive of all markets, as well as our accelerated SAP implementation. In the back half of 2020, we leveraged our strong operational cash flow position to invest in the necessary infrastructure to meet our raised guidance for the year and pivot toward our 2021 revenue targets. We will continue to invest heavily in CapEx throughout 2021 in support of those targets and to capitalize on the positive patient trends in Florida and the anticipated demand in 2022. 2020 was a remarkable year, but we believe we are only getting started. As we contemplate the strategic vision that we have planned for the company in 2021 and beyond, I can only say how proud I am of what the team has accomplished in 2020 to build out our infrastructure and set the foundation in place for this incredible road ahead. With that, I will turn the call back over to Kim.
Kim Rivers: Thanks, Alex. The results just covered reflect the outstanding work we've accomplished as a company and our focus on continuous improvement. This continuous improvement initiative and core approach to gaining efficiencies in our business as we gain scale has served Trulieve and our shareholders well and will continue to be important for us. Contemplating this transformation on where we can leverage our business model was essential as we build out our 2021 guidance, which I will run through with you now. For the full year 2021, we expect revenues in the range of $815 million to $850 million. We anticipate adjusted EBITDA in a range of $355 million to $375 million, or approximately 44% of revenue. Our 2021 EBITDA margin reflects expansion into new states with new revenue streams and expected margin impacts combined with conversion to GAAP. We believe this margin reflects our continued substantial leverage of scale and financial discipline. For 2021 guidance, we are assuming strong continued growth in Florida and Pennsylvania, maintaining share in California and Connecticut, and commencing sales in Massachusetts. To support the anticipated patient growth, we will continue to build supply chain and retail infrastructure to support the expected demand. For store accounts, we anticipate opening 39 stores in the U.S. by the end of 2021, reaching 114 stores nationwide. We cannot be more enthusiastic about what is on the horizon for Trulieve and our industry and we believe this will be a Trulieve transformational year. On the political front, the tide is starting to turn regarding cannabis policy at the federal level. Although we can't predict how and when meaningful change will happen, we are encouraged by the opportunities ahead. With the SAFE Banking Act being reintroduced in the House last week and now being introduced to the Senate this week, we believe we will see movement this year and are keeping a close eye on developments, but are not losing sight of our current operating framework and strategic plans. For our shareholders, we want to continue to stress our belief that we are just getting started. Building out our hubs, expanding our footprint and introducing our brand new customers and new markets is essential for our future strategic vision. The work accomplished in 2020 between the impressive financial results, the internal infrastructure initiatives, and the application of our strategic expansion and vision has ideally positioned Trulieve for 2021. It is this foundational strength that we will build upon as a national cannabis brand and we believe we are far from finished growing with a bright future ahead. Lastly, on top of all the successes covered today, we want to take a moment to thank the Trulieve team across the organization. Our passionate and dedicated employees worked tirelessly throughout a challenging and crazy year to achieve this success. When it comes to customer experience in the stores, we have a motto, 'Just say yes'. Our employees embraced that during 2020 and brought it to every job function across our company. I'm heartened to know that they did so not only for the company, but with our Trulievers in mind. Those values resonate with our customers and keep us working to consistently improve and strive for greater success. Thank you for joining us today and as I always say, 'onwards'.
Lynn Ricci: Thanks. Operator, I think we can open it up for questions now.
Operator: [Operator Instructions] Your first question comes from the line Derek Dley with Canaccord Genuity. You may now ask your question.
Derek Dley: Hi, good morning, and congrats on the exceptional results yet again. I was wondering if we could just start with touching on Pennsylvania. I know its early days, you guys were in there for about a month and-a-half of the quarter. But I guess subsequent to the quarter, can you comment on how that market is rolling out relative to your expectations? And just given some of the different dynamics within Pennsylvania, namely wholesale, what you've learned from the market structure in Pennsylvania?
Kim Rivers: Yes. Thanks, Derek. Pennsylvania is an incredible market and our partners there are also fantastic. As I've mentioned, several times PurePenn has a wholesale relationship with 100% of the dispensaries in Pennsylvania and we continue to see very strong demand for their current product offering and similarly, Solevo has a very passionate and dedicated patient base and they continue to impress with their results as well as their retention and loyalty metrics across their customer base. We are very much looking forward to having the additional capacity online, which is as we've said in the past, is coming online this quarter, that additional 90,000 square feet on the PurePenn side and bringing again an expanded variety of products particularly in the flower space to the market. We know that our wholesale customers as well as the customers that visit Solevo are very much looking forward to that that increased flower offerings that we're going to be bringing to market very soon.
Derek Dley: Okay, that's great and really helpful. You mentioned the plans for dispensary growth this year, 39 new stores this year. I believe you've already opened eight in Florida to start the year.
Kim Rivers: That's right.
Derek Dley: My question is just given the healthy cash position, so what do you expect for CapEx? I'd imagine a little higher than that $13 million a month that you quoted in Q4 and where do you intend to target a lot of these capital investments this year?
Kim Rivers: Yes. We're not going to give specific CapEx guidance because we do have as we mentioned, a lot of growth opportunities ahead of us in 2021. And we are going to, of course, I think as everyone would expect us to do, continue to reinvest into the business and to make sure that we've got appropriate supply chain as well as of course, retail locations to serve the demand that we're seeing, which is incredibly strong across all of the markets that we're in currently with catalysts coming. So I would say of course, stay tuned for additional announcements as we as we look to expand in all the markets that we're currently in, but particularly our core markets, of course, which are the Southeast and the Northeast.
Derek Dley: Okay, great. And then, just one more if I can sneak one in. Some of your competitors commented on their quarterly calls that they witnessed some disruption in Q4 related to, I guess, second wave of COVID. Can you comment - did you experience any of that and also just on the testing issues you guys mentioned last quarter, they're related to edibles were those rectified during Q4?
Kim Rivers: Thanks for that, too. On the testing, we were able to clear those bottlenecks we had. We worked very closely with our lab partners, and we're able to smooth out the testing implications that we were experiencing in Q3. We still from time to time, experience a lag, because we are continuing to ramp very, very quickly to meet this amazing surge of patient demand, particularly in the state of Florida that we're seeing since the beginning of the year. I think as I mentioned on the call, we've seen the patient count coming in online in Florida increased from about 2,400-2,500 a week to nearly double that. Actually in some cases over double that in Florida at the beginning of 2021. So, we're of course similarly pacing our production to make sure that we're meeting that demand, which of course, results in additional testing samples that go to the lab. But again, so far, that hasn't been the magnitude of the issue that we experienced in Q3. With respect to COVID, I think, Alex shared for the year that we had a 2% impact in terms of the bottom line impact as it relates to COVID for the year. In the quarter, it was relatively in-line and maybe a little bit of an increase in the quarter, but we continue to of course, make sure that first and foremost that our employees and our patients are safe, and are happy to invest those dollars to ensure that we continue to operate within and above CDC guidelines.
Derek Dley: Okay, great. Thank you very much.
Kim Rivers: Yes. Thanks, Derek.
Operator: Your next question comes from the line of Pablo Zuanic with Cantor Fitzgerald. You may now ask your question.
Pablo Zuanic: Thank you and good morning. Kim, there's been other companies talking about the potential for counties or municipalities in Florida to start imposing caps on the number of stores. I wanted to hear what are you hearing about that? Do you have any views on that potential risk for the current incumbents? Thank you.
Kim Rivers: Yes. I'm not really sure where they're getting that from. I would disagree completely with that statement. Currently under Florida law in statute, it's required that counties have one of two choices. They either can ban dispensaries completely, or they are required to zone us the same as pharmacies. So any change to that would require a legislative change. That's not something that a county or municipality could decide from market to market. So I don't see any risk to the current structure absent of a legislative change in there. There's no legislative change that I'm aware of that's pending.
Pablo Zuanic: Okay, thank you. And then just one last one. At the Benzinga Conference, to one of the questions, you made a comment that recreational could be on the ballot by November 2022, or maybe November 2024. You sounded quite nonchalant about it. And to me, it seems like you're pretty much assuming that this is going to be a more an issue of the ballot in 2024. Any comments on that? And if you have an update on potential wholesaling regulation or changes in Florida, that would help also. Thank you.
Kim Rivers: Sure. So both of those questions are tied to Supreme Court action. And so we've got on the wholesale initiative -- I'll just start there -- a court case that's making its way through and unfortunately, we don't have a ruling on that yet. However, I would expect time in 2021 for that ruling to come down. After assuming that the court does determine that wholesaling would be an avenue, then I would expect that to go to the legislature for implementation. But perhaps it could go through rule-making, so that's a little bit more of a gray area and again, we're watching very closely for that court ruling to come down. In addition, I would say that there certainly is conversation at the legislature around wholesaling as well. I think it could go again, and based on the Supreme Court case, or we could see some movement in the legislature on that particular issue, which we see as an amazing opportunity for Trulieve, quite frankly. We are the largest by far in the state with over 2 million square feet of cultivation capacity, the ability to have additional outdoor plantings, which we can dial our inventory of oil up or down, which of course would be branded finished good products that we would be very excited to wholesale across the state. In addition, of course, we would look at that as an opportunity to also offset some of our CapEx by partnering and certainly through our distribution network, I think that we would be a very attractive partner for other product manufacturers or small craft cultivators. So I think in kind of all aspects, we would see that as a positive.  On the second question related to legalization of the adult-use market in Florida, there are two pending ballot initiatives that are making their way through the court. Really, it's all a question of timing. And so the 2022 versus 2024, it becomes pretty formulaic in terms of when the Supreme Court rules, how much time is left to continue to get signatures for ballot placement. Again, waiting on the court to rule the validity of the language that's currently pending. I can tell you that we just participated in a poll that was done and there is overwhelming support for an adult-use initiative here in the state of Florida, and actually medical -- which I'll just touch on, because it was just so impressive -- actually came back with a 90% approval rating on a cross partisan, very legitimate poll. That's incredibly high. And then adult-use is pulling well over 70%. So it's pulling very, very well. I think that the threshold issue is just getting it on the ballot, which does require, of course, some legal steps and does have to make it through the Supreme Court.
Pablo Zuanic: Thank you. It's very helpful. If I can squeeze just last one. So, medical, you said 2% penetration, Arizona 4%, Pennsylvania 3%. What has held back that number? I know it went to continue to grow, but what are the key drivers we should look be looking for? New conditions, a more relaxed prescribing system, more stores -- what has to happen for that penetration ratio to continue to go up in Florida medical? Thanks.
Kim Rivers: I think all of those, of course, could contribute to an additional increase in acceleration. I do think though, that what we're seeing right now is a couple of things. Certainly last fall, we introduced edibles, which is a great form factor for folks who are new to cannabis and it's obviously very approachable for folks who are entering the market. As I mentioned, we've also though foreseen a doubling of patient inbound coming into the program in the state of Florida, which we have seen over time. It's there. I think if you look back and you look at the 2018 to 2019, 2019 to 2020 growth, which I'm sure most of you track the analysts on the call pretty, pretty closely, you'll see these step up times across the program. And so we just experienced that step up again with patient increases well into the 4,000-5,000 patients coming into the program per week, which is a pretty much a standard weekly trend now in 2021. Some of that is also coming from the fact that it's good old fashioned, just organic market growth when you've got a certain mass of folks who that are telling friends, and they're telling friends, and so this viral effect definitely happens as well. And then, I would say of course, certainly new form factors in the market and just mentioning that we're going to be bringing some new products to market today. We also have hydrocarbons that we believe will be approved to be a rule-making at some point in this year. That's been in rule development and so that would of course, allow us to launch a full product line, which we have ready to go of higher end, concentrate products in the state using hydrocarbon extraction methods. So all of those would be considered a win and would continue to contribute to accelerated patient growth and penetration in Florida.
Pablo Zuanic: Great. Thank you.
Kim Rivers: Yes.
Operator: Your next question comes from the line of Matt McGinley with Needham. You may now ask your question.
Matt McGinley: Thank you. My first question is on the margin rate implied in the EBITDA guidance. I think you said in the prepared remarks that the G&A doesn't change much in terms of rates, so the decline would come from gross margin, presumably from the new states. Over the longer term, should the margin rate on those new states look materially different from Florida? And is this more of just a function of the ramping of that and you'll get the margin rates up higher by year end? And also, do you assume any material change in the rate of your forward operations in that guidance for 2021?
Alex D'Amico: Yes. Hey there, Matt. Thank you. Exactly right. As you said, the margin considers the entering of new markets, the ramping in those markets and keep in mind as we enter markets with different rules and regulations, there's different margin impact. So throughout the next year, we'll be non-vertical in our PA operations. We will be ramping in Massachusetts until we have revenue coming online. So that's all to your point, part of the ramp and it has margin impact. On a go-forward basis, we'll continue to assess beyond 2021. But yes, expect it to creep up as we fully ramp and get into the full swing of things in those new markets.
Matt McGinley: And on the platform upgrades, can you talk about the infrastructure upgrades you made with SAP that you completed last year? And what capabilities that would give you in 2021? Does this just set you up for growth, or does this provide you some tangible margin benefit or working capital efficiency that we could see this year? And Alex, can you repeat what the drag from that was on the margin related to the cost of implementing that in in 2020?
Kim Rivers: Sure. Alex, why don't you talk about the margin implications and then I can maybe get back on the benefits.
Alex D'Amico: Sure. SAP on the margin itself was about 1%, different production stoppages, as we implemented. It has to a 2%, almost 3% impact across the Oregon EBITDA, about 1% in margin and 1% to 2% through our SG&A.
Kim Rivers: Yes. And then in terms of the benefits that it will give us, certainly, it allows us to have a single platform that we're able to launch across all of our markets. So that, as we think about a national conglomerate along with of course our scale, we're able to manage the business from a single platform system. In addition of course, it will allow us to consolidate our financials and our financial reporting, which is a benefit as well. And then that coupled with some of our other technology upgrades, including Magento [ph] and some other platforms, we're also able to have much deeper data insights into our customers, which of course, assists us with our predictive data analytics as we think about the differences from market to market, as well as regions and at the individual store level, as well as we're thinking about, again our inventory and management and making sure that we have the right products, in the right stores, at the right time for folks. And then, finally, I'll just mention as a U.S. reporting company, stocks of course and being SOX [ph] compliant is very important as well and this certainly provides a system that we can rely on for our SOX compliance requirements on a go-forward basis.
Matt McGinley: Okay. Thank you very much.
Kim Rivers: Yes.
Operator: Your next question comes from the line of Camilo Lyon with BTIG. You may now ask your question.
Camilo Lyon: Thanks. Good morning, everyone. Just following up on the line of questioning with respect to gross margin. Alex, maybe you could just share with greater detail the pricing dynamics on flower pricing in Florida and how you expect those to fluctuate or remain the same for this year?
Kim Rivers: Actually, I know, I'm not Alex, but I'm going to...
Camilo Lyon: Sure, Kim.
Kim Rivers: I know, certainly, but I do realize I'm not Alex. So, on the pricing dynamics with respect to flower, we're continuing to see strong growth and I think we went over this last call. Strong growth via what we call the barbell effect. So certainly extremely strong growth in our value products, which would include on the flower side, both our mini products, our ground products, and our pre-roll products, as well as our lower tier eights [ph]. That demand of course, continued to be strong. But in addition, we're also seeing about the same as last quarter, customer demand for our premium flower as well. We've launched both our Cultivar Collection, which is very specific genetics, requires very specific levels of both THC terpene count and then we've also added flavonoids, as well as the type of genetics that we offer through that lineup. In addition, we have brand partners that also we have launched and that we continue to have a high sell through rate, again on that higher end price spectrum. And so the Bellamy Brothers have a line of flower, which I just mentioned, as well as Binske are partners, and Sunshine Cannabis, and then Black Tuna as well. So all of those products do really well for us and so I wouldn't expect vast differences, at least from what we're seeing now with the patient demand trends in either of those categories. And so I would think that Florida pricing of flower will likely remain fairly stable.
Camilo Lyon: So you're not seeing any competitive pressures from participants trying to garner some of that market share that you are defending?
Kim Rivers: I would say that from our perspective -- I've been answering this question for three years and have always said, look, judge us on our results. Last week we sold our second highest week of flower in the state with over 30,000 ounces being sold last week. We're selling three times the flower that we did in January of 2020. And I think that when you look at it from a competitive basis, we're selling a significant amount more. I think it's 6.2 times the amount of flower than our closest competitor. So we feel really good about our posture, certainly more folks are going to be bringing cultivation online, they need to be bringing more cultivation online, we're bringing more cultivation online, because the demand, particularly, and that's, by the way, not only in Florida, that's the same in looking in Pennsylvania, and also in our Massachusetts markets. And demand is on the rise across the country. And it is important that we, along with other folks, are rising to meet that -- to meet that demand, and so that folks have access.
Camilo Lyon: Great. And then just to follow up, I know you just started your operations in Pennsylvania, and there's a tremendous opportunity there, especially when that market goes recreational. You're circling the biggest opportunity, though, in New York. And obviously, there's more positivity with respect to expectations around favorable legislation unfolding there. How do you view the plans or the strategic entry into this market? And is this more of a medium to longer term opportunity that you're contemplating? Or is this -- could we see something unfold in advance of -- in advance of some legislation coming down or recreation sales actually beginning potentially, as soon as next year?
Kim Rivers: Yes, I think that -- right, while we certainly appreciate the future potential changes in a market, we also look to make sure that we're -- that we're executing to our fullest potential in the market under current -- under current regulations, and current laws, and we've always operated the business that way. So, and in Pennsylvania, it was very important for us to identify the right foundational partners for us to enter that market. And because just like any market, and there are certain specific nuances and specific regulations, etcetera, that we need to follow. But not only that, we also wanted to make sure that the partner that we were entering the market with, that we have the ability to scale and build the operations and the future of the business around that operation and around that team. In Pennsylvania, as a reminder, and there is no limitation on the amount of cultivation or processing you can have. The requirement under the law there is that you have to build on what's considered one site or one parcel. So we did take our time to make sure that where we were entering from a cultivation and production standpoint, had the ability to gain scale and had the ability for expansion, which you're seeing, of course, begin to come to fruition during Q1 with our first expansion there. And, as I've mentioned, I think we've been pretty transparent about we certainly are interested and we'll be looking for additional opportunities in Pennsylvania. And that's ongoing and currently underway.
Camilo Lyon: Fantastic. All the best. Thank you.
Operator: Next question comes from the line Russell Stanley with Beacon Securities. You may ask the question.
Russell Stanley: Good morning, and congrats on the quarter. Just coming back to Florida and the addition of edibles, wondering if you can share any color as to what share of revenue they now contribute and whether you're seeing any cannibalization of other products or product lines at this point?
Kim Rivers: Hey, thanks Russ. So we're not in a position to break out specific product segments on a percentage basis and for a number of reasons. But what I can tell you is that, it's continuing to be an increased percentage of product mix. We certainly, of course, wouldn't be ramping the product line and introducing additional products and outline if the demand wasn't there for those products. So it is certainly a category that has been well-received by the market. And as I said before, I think we'll continue to ramp to national averages as it relates to share of market. I don't think that Florida is going to be any different than what we see in other markets that have edibles as a distributor to product line.
Russell Stanley: Great, thanks. Thanks on that. And just one more, maybe on West Virginia and congrats on yesterday's announcement. Just wondering if you can share development timelines there what your thoughts are on construction and when you might be in a position of being generating revenue there? Thank you.
Kim Rivers: Yes, well, of course, we just announced the deal yesterday, and we do have to go through, of course, the regulatory approval process of license transfer. I think we're going to be the first one to go through that process with the regulators there, although we expect them to be very cooperative. So I would say more to come on that Russ, after we get the license transfer completed. Just with that unknown, we'd hate to give you guidance that isn't met, of course, we'll be moving very quickly on the cultivation and production and aspects of the business to get that up and going. I would hope that construction certainly will happen this year, in terms of when first harvest will come in. that, of course, is very, very dependent on regulators and inspections, and all of that, and so we’ll give you additional color on that, as we work through and move down the road on that process.
Russell Stanley: Great. Thanks, again for the color, and congrats, again.
Operator: Your next question comes from the line of Eric DesLauriers with Craig-Hallum Capital. You may ask your question.
Eric DesLauriers: Great. Thanks for taking my questions, and congrats on strong results. So first, in Massachusetts, it looks like you have a couple potential transactions underway for additional retail locations in Massachusetts. Could you just run through the current status of those potential transactions? Where are those locations, are they medical or adult use? And how did you go about selecting those?
Kim Rivers: Yes, thanks for the question. And we'll be providing additional information on those as we move through the regulatory approval process. And we are very cautious in Massachusetts, because of just how the regulators have moved on a number of fronts and just delays, etc. to not jump the gun in terms of getting folks excited about certain things when they haven't happened yet. So, similar to my comment on West Virginia, we're very, very excited about the future of Massachusetts, are very, very hopeful that we'll have some, some good additional news to share with you later this year, but are not in a position to comment on that quite yet.
Eric DesLauriers: Okay, that's fair, I certainly understand the reasoning or thought process there. So I suppose switching gears to Pennsylvania, but sticking on the M&A theme here, can you just talk about what the M&A environment is for retail licenses in Pennsylvania, if you're seeing any pressures on valuations or anything? And then just maybe overall, help us understand where your M&A priorities currently lie, whether it's really focusing on going deeper within Massachusetts, or Pennsylvania, or if there's any other expanding into new markets that could potentially be on the table for you guys.?
Kim Rivers: Sure, so Pennsylvania, as I said, we're certainly active in Pennsylvania currently. And look, M&A is M&A. And it's all very, very specific and very dependent on the particular target and the particular operations team, and what they're looking for, and we think that Trulieve has an incredible story and track record of execution. When we think about how our currency stacks up against our peer set, we also really like our position there, and again, given our return in value to shareholders, as well as our solid performance overtime. So, we continue to find those facts very attractive to partners. And I wouldn't say experiencing anything unusual in the market today. And aside from Pennsylvania, I think we've been pretty clear that we're executing on a hub strategy that involves five regions of the US. And each of those regions have their own dynamics and their own complexities. But it's certainly in the northeast as a region that we've been, again, very transparent about, with us focusing on. That being said, we're also focused on organic growth, and have -- and I don't think we should lose sight of the fact that we've got application, an applications team that is very active, and that continues to strategically apply in states and markets that we see against synergies with and executing and advancing our hub strategy, which of course, West Virginia was an example of success from that team. So it's certainly, not only an M&A strategy, it will continue to be an organic growth strategy for us, as well.
Eric DesLauriers: Yes, for sure. Well, congrats on growth in both so far. And thanks, again.
Operator: [Operator Instructions] Your next question comes from the line of Aaron Grey with Alliance Global .You may now ask the question.
Aaron Grey: Good morning, thanks for the questions and congrats on another nice quarter and finish to the year. So first question for me, so you guys 39 store openings you expect for the year, eight today so far within Florida. So just as a look a model making some wholesale assumptions, it does seem to imply that there might be some lower level of sales per dispensary, compared to the current rate. So, wanted to know, if you could offer some color there on whether there are some store openings and maybe some new markets or additional stores in Florida that might be in less populated communities, or maybe saturated markets where might be assumed that's going to be a lower level of sales per store, maybe the assumptions of what that might be or some conservatism built in, but some thoughts behind the retail per stores expectations going forward into 2021 will be helpful. Thank you.
Kim Rivers: Yes. So unfortunately, we're not going to be able to open all of those stores tomorrow. So certainly, the model has timing differentials built into it, with respect to the store platform, there certainly is not an anticipated decline in store performance. So that's certainly not the case. And we're averaging on a per store basis between $10 million and $11 million per store, which would hold true. So, again, we're not -- I think that most likely, it's the timing of when those stores are coming online, and how long they will be open for in the year.
Aaron Grey: All right, great. Thanks. And the second question, you mentioned how for the past couple years, people have often asked you about the competition heating up. Within Florida, it does seem, there's been a number of acquisitions within Florida, from some other operators who are looking to add in terms of their own competition and capacity within the state. One thing that I believe Trulieve has been able to offer is product availability, and also diversification. So, as your competitors look to increase their own capacity and product availability, how do you look to protect your moat going forward? You have your loyalty program. Are you still comfortable with that? Where it stands today? Are you looking to make any adjustments? Yes, I know, it's something that many have talked about in the past, I would love to hear about where you stand there as you continue to defend your moat there. Thanks.
Kim Rivers: Yes, thanks for the question. So we're continuously looking for ways to improve and make sure that we have the best -- not only, of course, product selection and product quality, which is really important, but also the best customer experience, which keeps folks coming back. And then, of course, lends itself to that incredible loyalty metric that we report on regularly. So, what I can say on that is that we're certainly, as I mentioned, not sitting still and continuing to evolve. What's wonderful about the technology that we just implemented is, it does give us additional capabilities on our loyalty program to continue to drill down and expand on that program. So yes, certainly, I would say stay tuned, because coming very soon will be a revamp of that program with additional features that we think folks are going to be really excited about. And, in addition, I would say that I think that it is important to look at the reputation and again, the repeat customers that we've cultivated over the years, which are, of course, a key driver for our business. And, again, folks, open new stores in markets and in our most competitive markets across the state, those are actually the markets that we perform the best. So, when you look at our top three to five stores across the state, across the state of Florida, they happen to be located in the most competitively robust markets in the state. So I feel very, very confident about our ability to hold our own and to continue to hold our own against our competitors. And of course, again, it's important to note that we're continuing to add products as well, and continuing to innovate and are oftentimes, continue to be first to market with new form factors and product offerings across different segments of the market, as well. So, we're continuing to be very bullish in our position in Florida, and feel very good about our performance today, and we'll be looking to continue that trajectory.
Aaron Grey: Great, thanks. And look forward to seeing some of those changes to the loyalty program. Best of luck.
Operator: Next question comes from the line of Scott Fortune with ROTH Capital Partners. You may now ask your question.
Scott Fortune : Thanks for taking the questions. Real quick, a little more color on Massachusetts, if possible. I know you just received the growing licenses start there. What's the timing on that? And does Massachusetts include much in your guidance for 2021? Or is kind of wait and see as the regulatory or the licenses come on board?
Kim Rivers: Yes. So we have plants in the ground. And in Massachusetts, it was very exciting to get those first images of green in the building, and which we've got over the weekend. So that was very, very exciting. Of course, now those plants have to actually grow up and flower and be processed and make their way through the supply chain. And as mentioned on the call, our first store will be coming online in the second quarter towards the backside of the second quarter. Again, cultivation, as well as our wholesale platform launch and hopefully, additional stores in the back half of 2021. So we're definitely looking forward to Massachusetts being contributive to our 2021 guidance. But as mentioned, we're not going to be segment reporting or giving any additional color on that. And, certainly I would say this weekend and yesterday were a huge step to that becoming reality.
Scott Fortune : Okay, appreciate that. And then, just real, quick shifting back to edibles in Florida and what you're seeing on the sell through rates with your loyal consumers. And have you seen increased basket size for those consumers step through on how your patient base is accepting of the edibles from that standpoint adding onto the baskets?
Kim Rivers: Yes, as mentioned before, we're certainly seeing strong demand for our edibles products. And, Q4 for us was all about ramping up production to meet that demand, which we did successfully in Q4, of course, coming out of that testing bottleneck issue that we had in Q3. So it was really about ensuring that our processes and our flow and how we were getting those products to customers and on our shelves was there and was appropriate, so that we can match demand on a go-forward basis, which we believe we're in the process of doing now. But it's a strong seller, and we expect it to continue to be a strong seller with our medical patients, of course, and any market that has adult user or recreational edibles is certainly a very, very important, important product segment. So, for us it was key to not only launch and to, of course, be first to market with edibles, but also to continue to develop and innovate and have a very robust product line, across a number of different form factors, and the edible segment to, again, be able to compete and meet customer demand.
Scott Fortune : Thank you, I appreciate the color.
Operator: [Operator Instructions] There are no further questions at this time, you may continue.
Kim Rivers: Well, thank you for joining us today. We look forward to updating you again next quarter. Have a great day, everyone.
Operator: Thank you. This concludes today's conference. Thank you all for joining me. You may now disconnect.